Operator: Good day, ladies and gentlemen, and welcome to the Garmin Limited Second Quarter 2015 Earnings Call. At this time, all participants are in a listen-only model. Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference may be recorded. I would like to introduce your host for today's conference, Kerri Thurston, Director of Investor Relations. Ma'am, you may begin.
Kerri R. Thurston - Director-Investor Relations: Thank you. Good morning, everyone. We'd like to welcome you to Garmin Limited's Second Quarter 2015 earnings call. Please note that the earnings press release and the related slides are available at Garmin's Investor Relations site on the Internet, at www.garmin.com/stock. An archive of the webcast and the related transcript will also be via our website. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial position, revenues, earnings, market share, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K, which is filed with the SEC. Presenting on behalf of Garmin Limited this morning are Cliff Pemble, President and CEO; and Doug Boessen, CFO and Treasurer. At this time, I'll turn the call over to Cliff.
Clifton A. Pemble - President and Chief Executive Officer: Thank you, Kerri, and good morning, everyone. As previously announced, Garmin reported second quarter revenue which was down only slightly year-over-year, despite significant downward pressure caused by a stronger U.S. dollar. In the quarter, we shipped over 4 million units, representing an 8% increase over the prior year. Unfavorable currency movements continue to impact many global companies, and we are no exception. We estimate that unfavorable currency movements reduced revenue by approximately $59 million in the quarter, which affected revenue growth, margins and EPS. Note that our pro forma calculations do not account for these factors, but we offer this commentary to highlight the underlying strength of our business. Revenue from aviation, fitness, marine and outdoor grew 11% on a combined basis. These segments contributed 61% of the total revenue and 73% of the operating profit in the second quarter. Gross margin was 54% and operating margin came in at 22%. The reduction in margins from the prior year reflects a combination of factors, including downward pressure from unfavorable currency movements, a more competitive pricing environment and continued investments in advertising and R&D. These factors, combined with a higher effective tax rate, resulted in GAAP and pro forma EPS of $0.72 in the quarter. Doug will discuss our financial results in greater detail in a few minutes, but first I'll provide a few comments on each business segment. Beginning with the fitness segment, revenue grew 5% on a year-over-year basis, which is slower than both first quarter and the year-ago quarter. Looking closer, prior year growth reflected significant sell-in activity due to new product launches, which were not repeated in 2015. Additionally, as I mentioned last time, currency headwinds disproportionately impact fitness and outdoor due to the geographical revenue mix. In summary, while the growth rate slowed in the second quarter, we believe that the underlying foundation of this segment is solid. Gross and operating margins were 56% and 21%, respectively. Gross margin was impacted by unfavorable currency movements and product mix shifting towards lower margin products while operating margin was further impacted by increased R&D and advertising investments, which we believe position us for long-term success. In the second quarter, we began deliveries of the Forerunner 225 which incorporates wrist-based heart rate. We are pleased with the initial demand for this exciting new running watch. Finally, we introduced an exciting range of cycling products that offer new utility for enhanced performance and safety for the cycling community. Looking at outdoor, revenue grew 4% due to improved product supply and strong demand for our wearable devices. Gross and operating margins were relatively stable, allowing us to deliver operating income growth of 6%. While gross margin was comparable to last year, it was negatively impacted in the second quarter of 2014 due to an inventory reserve. As I just mentioned, our wearable devices have performed well in 2015 and our flagship product is the Fenix 3. This device appeals to a broad range of customers from those looking for multi-sport features to those who are more interested in style. We see growth opportunities in the outdoor wearable category and we are making additional investments to capitalize on the opportunity. During the quarter, we introduced touchscreen technology into our bestselling eTrex Series. In addition, we introduced a new model of our Rino communicator product series. We expect these products will perform well in the back half of 2015. Turning next to aviation, we posted revenue growth of 5%, driven by growth in aftermarket sales. While gross and operating margins remain strong at 73% and 27% respectively, operating profit declined slightly on a year-over-year basis due to R&D investments supporting future revenue opportunities. Last quarter, the General Aviation Manufacturers Association reported that deliveries of new aircraft fell 15%, led by a 19% drop in piston aircraft deliveries. In addition, deliveries of helicopters fell 18%. Despite this near-term weakness, we continue to see long-term opportunities in the market and are supporting numerous OEM partners in the development and certification of multiple aircraft and helicopter platforms. Looking next at marine, revenue grew 41% in the quarter driven by the strength of our 2015 product line-up and contributions from our Fusion marine entertainment division, which was acquired in July of 2014. These strong results far exceed industry trends and demonstrate that we are gaining market share with our new chartplotter combos and game-changing technology like our Panoptix real-time sonar imaging system. In the auto segment, revenues were down 15% in the quarter with PND industry volumes declining in line with expectations. On a year-over-year basis, amortized revenue declined, creating a headwind that was not correlated to the underlying business. We believe that our market share is stable in the U.S. and has increased in Europe. As we have highlighted in prior quarters, we continue to focus on growth opportunities in OEM, trucks, RVs, dash cameras and other specialty automotive products to partially offset lower consumer PND volumes. In the quarter, we expanded our truck portfolio with the introduction of the Dezl cam, which is a premium all-in one trucking navigator with an integrated dash camera. The Dezl cam also offers important truck routing and warning features that provide significant utility and value to the trucking community. Having passed the halfway point for 2015 we are updating our full-year guidance. We continue to anticipate revenues of approximately $2.9 billion, which is unchanged from previous guidance despite the approximately $160 million of negative currency impact due to the stronger U.S. dollar. Our growth outlook has been adjusted in marine and aviation where we now expect 15% and 5% growth respectively. Prior estimates were 10% for both segments. We expect gross margin to be in the range of 54% to 55%, down slightly from previous guidance, due to unfavorable currency movements and in anticipation of competitive pricing dynamics in the back half of the year. We expect operating margin to be in the range of 20% to 21%, which includes the additional R&D and advertising investments as outlined earlier. Finally we anticipate pro forma EPS of approximately $2.65, which also reflects a higher anticipated tax rate for the full year. While it's disappointing to provide downward revision to our guidance, we believe that the underlying business trends remain positive and our investments in R&D and advertising are expected to result in new revenue opportunities and long-term growth. So that concludes my remarks for the morning. Doug will walk us through additional details on the financial results. Doug?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Thanks Cliff. Good morning everyone. I'd like to briefly review our financial rules and then move to summary comments on the balance sheet and cash flow statement. We posted revenue of $774 million for the quarter, with GAAP and pro forma net income of $138 million. Our GAAP and pro forma EPS was $0.72 per share. During the quarter we faced significant exposure to foreign currency fluctuations which resulted in a revenue headwind of $59 million, or 7.6% of revenue. In addition, deferred revenue amortization, a year-over-year headwind, negatively impacted revenue by $12 million. Gross margin declined to 54%, a 300-basis-point decrease from prior year. Operating margin was 22%, a 660-basis-point decrease from the prior year. Finally, effective tax rate increased to 20.6% at current quarter compared to 12.8% in the prior year. This created further earnings pressure of $0.07. We'll discuss gross margin, operating expenses, effective tax rate in more detail later. Next, we will look at how our second quarter revenue breaks down by segment. The auto segment represented 39% of our total second quarter 2015 revenue, compared to 45% in the second quarter of 2014. We continue to diversify our revenue base with marine increasing to 13% and fitness increasing to 21% of our total second quarter 2015 revenue. I'd like to discuss gross margin next which decreased to 54%, driven largely by the currency headwind which reduced revenues by $59 million on a constant currency basis. Looking at year-over-year material changes by segment. Auto was negatively impacted by the FX-reduced revenues and reduced contribution from amortization of high margin deferred revenue and costs. Fitness gross margin declined due to the FX-reduced revenues, competitive pricing dynamics and product mix shifting toward the activity tracker category in the current quarter. Outdoor gross margin was flat year-over-year as the impact of FX-reduced revenues was offset by the prior-year inventory reserve accrual. Marine gross margin was down slightly as the currency impact on revenue was largely offset by a positive product mix due to the successful introduction of our 2015 line-up of products. Total corporate operating margin was 22%, as operating expense growth outpaced revenue growth. Looking next at operating expenses, second quarter operating expenses increased by $27 million or 12%. This is a 360-basis-point increase as a percent of sales. Research and development increased $11 million year-over-year, or 150 basis points, to 14.1% of sales. We continue to invest in innovation with increasing resources focused primarily on aviation, fitness, and outdoor. Our advertising expense increased $11 million for the prior year quarter and represented 5.9% of sales, 140 basis point increase. Additional spending was focused on fitness, marine, investments in media, point-of-sale presence with key retailers, and co-op advertising. SG&A was up $5 million compared to the prior quarter, increasing 70 basis points as a percent of sales to 12.6%. Increased spending was driven primarily by legal costs, IT expenses, and product support costs as our customer base continues to grow rapidly. Just a few quick highlights from the balance sheet and cash flow statement. We ended the quarter with cash and marketable securities of over $2.4 billion. Accounts receivable increased sequentially to $502 million following the seasonally stronger second quarter. Our inventory balance decreased to $458 million as we exited the seasonally strong second quarter, but remains higher than 2014 to support new product categories. During the second quarter of 2015, we generated free cash flow of $64 million after adjusting for the $183 million tax payment associated with our inner company restructuring which was initiated in 2014. Also during the quarter, we paid dividends of $92 million and repurchased $41 million of company stock with $243 million remaining for purchase through December 2016. Finally, as I mentioned previously, our effective tax rate increased to 20.6% in the current quarter compared to 12.8% in the second quarter of 2014. The increased tax rate was primarily a result of forecasted income mix by tax jurisdiction which is negatively impacted by the overall reduction in forecasted taxable income and the resulting catch-up expense for the first quarter. In addition, the current year release of tax reserves associated with the expiration of the statute of limitations was $1.6 million, compared to $5.2 million in the prior year. Our full-year effective tax rate is now expected to be 18 to 19% due to the change in income mix by tax jurisdiction. Consistent with last year, the full-year effective tax rate forecast assumed the passage of the R&D Tax Credit. This concludes our formal remarks. Amanda, could you please open the line for Q&A?
Operator: Our first question comes from Brad Erickson of Pacific Crest. Your line is open.
Brad D. Erickson - Pacific Crest Securities LLC: Hi. Thanks for taking my questions. First, I just wanted to touch on the fitness in the quarter. Can you kind of talk about how much of it was related to sort of delays in new product launches as opposed to the drivers you called out around competition and currency, if those were – just curious to know if those were also meaningful? And then, secondarily, just given that – it seems like there is some channel fill coming, talk about sort of the sequential margin profile we should expect here in fitness heading into Q3?
Clifton A. Pemble - President and Chief Executive Officer: Yeah. So in terms of any other factors impacting fitness, there really wasn't any material impact due to product delays in the quarter. In terms of what we can expect going forward, we would expect the Q3 margin to come up some and then Q4 would be lower sequentially in order to accommodate the year-end promotions and sales.
Brad D. Erickson - Pacific Crest Securities LLC: Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Thanks, Brad.
Operator: Thank you. Our next question comes from Charlie Anderson of Dougherty & Company. Your line is open.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. Thanks for taking my questions. If we look at fitness and the operating income there, it's roughly equivalent to where it was before you had the activity tracker business. So it gives the appearance that that business is breaking even or maybe a little bit worse. So I wonder if you could lay out for us what your long-term target operating margin is for that category and what kind of revenue levels we need to get to, to get there.
Clifton A. Pemble - President and Chief Executive Officer: Yeah. I think, Charlie, it's probably more complicated than just looking at the differences between what it was before trackers and what it was after. Keep in mind that we are facing a significant headwind due to the currency issues. So that's a major factor as well. The tracker product line, while it's lower ASP, it's still what we feel is attractive profit. So I don't think it's as easy as just looking at before and after.
Charlie Lowell Anderson - Dougherty & Co. LLC: Got it. And then, in the automobile segment, I noticed the margin was not as high as it typically is in Q2 in terms of the flow-through from Q1. Was that mostly in FX this year or was there anything changing on pricing in the PND market?
Clifton A. Pemble - President and Chief Executive Officer: I think pricing is generally stable year-over-year. We mentioned that the deferred revenue impact, we're recognizing lower levels of deferred revenue this year versus what we were last year. So that definitely has an impact.
Charlie Lowell Anderson - Dougherty & Co. LLC: Thanks so much.
Clifton A. Pemble - President and Chief Executive Officer: All right. Thanks.
Operator: Thank you. Our next question comes from Simona Jankowski of Goldman Sachs. Your line is open.
Simona K. Jankowski - Goldman Sachs & Co.: Hi. Thanks so much. I just wanted to dig into the expected reacceleration of the fitness business in the second half. Obviously, if you're maintaining the full-year expectation of 25% growth there, it implies that Q4 is going to be up well above normal seasonality. I just wanted to understand how much of that expectation rests on upcoming new products you've got in the pipeline versus any other expectations relative to competition or pricing or channel fill or anything else you might highlight.
Clifton A. Pemble - President and Chief Executive Officer: Well, I think, there is a slightly different dynamic, Simona, in the fitness market, with the tracker market being more driven in the consumer space whereas some of our traditional business was – had a different dynamic around specialty. But that said, you know, we do expect that there will be a stronger level of seasonality in the back half due to the promotions in the fourth quarter. And we do have some additional product launches that are coming into the back half of the year, but for the most part our product line is set for the upcoming season.
Simona K. Jankowski - Goldman Sachs & Co.: And just in terms of that expectation of the stronger seasonality, is that based on commitments you're getting already from the retailers in the channel more broadly or is that just your expectation based on your history of how the market responds to increased advertising?
Clifton A. Pemble - President and Chief Executive Officer: I think it's based on – some on the commitments and also some on our experience in the PND market which was more consumer-driven and driven in the back half of the year with promotions.
Simona K. Jankowski - Goldman Sachs & Co.: Great. And then just a longer term question on the fitness category, so obviously the market has been very dynamic and we've seen a lot of movement in terms of the competitive landscape as well. And one of the trends that we're observing is that there does seem to be a significant shift towards the value of online communities or kind of a social network around fitness as well as mobile apps. Those aren't necessarily some of the areas that I think Garmin have historically been very, very focused on. But just curious on how much investment you're increasing in those areas or do you even view them as something that is important to focus more on going forward?
Clifton A. Pemble - President and Chief Executive Officer: Well, we've been focused on that area for a long time and we haven't talked a lot about our online community, but Garmin Connect is very strong and we have millions of users associated with that. We are increasing our investment on top of what we have already done and we're continuing to roll out updates and new features in Garmin Connect and Garmin Connect Mobile.
Simona K. Jankowski - Goldman Sachs & Co.: Okay, thank you.
Clifton A. Pemble - President and Chief Executive Officer: All right. Thanks, Simona.
Operator: Thank you. Our next question comes from Mark Sue of RBC Capital Markets. Your line is open.
Mark Sue - RBC Capital Markets LLC: Thank you. At a high level, the investor worries that in some technology markets we've often seen situations where the winner takes all and it's evident in your fitness segment where your nearest competitor is growing at 180%; you grew 5%. So what are some of the thoughts to kind of leapfrog the competitor to kind of keep them at bay? And it doesn't seem to be a product or technology issue, rather a brand issue, so maybe some of the things you're doing to turn that around so that you could resonate more with consumers?
Clifton A. Pemble - President and Chief Executive Officer: Yeah, thanks Mark. I think in terms of where we stand in the market today, we've a fairly new entry to the market in the past year and we quickly have taken the number two position on a global basis, some countries stronger than others. So we feel so far we've made good progress. In terms of where we stand with our product line, I think one of the key areas where we're focusing is increasing the number of sensors that are in our products, that's an area we feel like we still have some work to do. But I think once we get there, our product line should be well-positioned to compete. In terms of whether or not we have a brand issue, I think that's why we are choosing to invest in more advertising. We are new to the category, so we're letting people know that we have great solutions in the category and we do see movement based on what we've been doing so far.
Mark Sue - RBC Capital Markets LLC: One road traffic corollary (22:31) related to your action cameras, we – Garmin has been at this for a while. Your market share has not really moved. When do you decide we've tried, so – but we've made little efforts, so it's time to pull the plug? Or is this something where you – it's very important to Garmin considering you have a lot of different things going on at the moment, so maybe the value of focus?
Clifton A. Pemble - President and Chief Executive Officer: Yeah, I think that Garmin's strength has been diversity in our product lines and in our market segments that we've served over the years and we're able to leverage our technology and our competence across multiple segments and multiple product categories. So we view the action camera segment as a similar approach to what we've used in the past in growing our business. In terms of what we're doing in action cameras, I think the release of our new product has been well received, better received in terms of the update to the existing VIRB. And we're taking a long view on the market. We believe we speak to a certain customer base out there and so our products are focusing on addressing that customer base.
Mark Sue - RBC Capital Markets LLC: Okay, that's helpful. Thank you, and all the best.
Clifton A. Pemble - President and Chief Executive Officer: Thanks, Mark.
Operator: Thank you. Our next question comes from Ben Bollin of Cleveland Research. Your line is open.
Ben J. Bollin - Cleveland Research Co. LLC: Good morning, everyone. Thanks for taking the call. First question, when you look at the increased advertising initiatives, could you tell us a little bit about what you're doing and how you're approaching it versus how you've spent that money in the past and any specifics you could provide on how many points of sale you have today, in-store kiosks, anything along those lines would be great. And then I have a follow-up.
Clifton A. Pemble - President and Chief Executive Officer: Okay. So in terms of what we're doing today, we've shifted, like many companies, towards – more of our dollars towards online and digital, so we have quite a bit of activity going on in the online space. We've also used some out-of-home things in airports and transportation centers where people are gathering and a larger portion of TV than what we've done in the past as well, so those are kind of the states if you will of what we're doing in the program.
Ben J. Bollin - Cleveland Research Co. LLC: Okay. The second question, when you look at the existing portfolio today, do you have any thoughts on what is needed to grow revenue and profitability into the future and what I mean by that, can you do it with the existing line-up where you keep refreshing existing skews or does it require that you continue to expand into new product areas and completely new items? Thank you.
Clifton A. Pemble - President and Chief Executive Officer: Yeah, if you look at what we've done over the years, Ben, we've never completely relied on what we do today as our growth strategy for the future. While we serve a broad range of market segments, each one has its own dynamic. The reality in today's world is that any customer is looking for new innovation for more compelling features and utility and so we always have a plan to refresh and improve our product lines over time and we're constantly looking for new categories that we can expand into in order to grow our revenue. If you look at where we are today in terms of our revenue, yes, it's basically flat or a little bit down year-over-year but a big portion of that is the currency headwinds and definitely had we not invested in the past in order to get where we are today the situation would be much worse. So we believe in innovation to drive our growth in the future.
Operator: Thank you. Our next question comes from Jeremy David of Citigroup. Your line is open.
Jeremy David - Citigroup Global Markets Inc. (Broker): Hi, good morning guys. Just want to go back to the gross margin in fitness, the decline about 10 points year-over-year. Could you give us kind of the breakdown of the impact of FX versus a mix shift within the fitness portfolio versus your promotional pricing? And then on the pricing pressure in fitness that you've mentioned, is it coming just from fitness trackers or are you seeing it in products where maybe you're trying to – like GPS fitness watches where there are more offerings and more OEMs offering different products there?
Clifton A. Pemble - President and Chief Executive Officer: Doug?
Douglas G. Boessen - Chief Financial Officer & Treasurer: Hi Jeremy, this is Doug. Regarding the fitness gross margin change year-over-year, about 400 basis points of that change related to product mix and competitive pricing dynamics. So with that, we have a larger percentage of our fitness business in activity trackers year-over-year as well as we have some competitive pricing dynamics going on in that area. And the rest of it is primarily FX related in the fitness.
Jeremy David - Citigroup Global Markets Inc. (Broker): Okay. On the pricing dynamics, I mean I think as early as Q4 last year, you said you would be more aggressive in the fitness tracker category and anywhere this past (27:35) holiday season. And the (27:39) pricing continued to be pretty low in Q1 and Q2, so I haven't really seen a big change from Q1 to Q2. What – your gross margin at the company level for the fitness segment did change quite a bit quarter to quarter, what really changed because I didn't pick it up based on kind of the retail checks I was doing.
Clifton A. Pemble - President and Chief Executive Officer: I think part of your earlier question was whether or not we're seeing pressure across the entire line and maybe that relates to your current question as well, but there is more competitive pressure across the entire line-up and products particularly in running, and so we've seen some impact from those areas as well. Does that answer your question?
Jeremy David - Citigroup Global Markets Inc. (Broker): Yes, it does. Thank you so much.
Operator: Thank you. Our next question comes from Robert Spingarn of Credit Suisse. Your line is open.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Good morning.
Clifton A. Pemble - President and Chief Executive Officer: Good morning.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Maybe we could change lanes a bit here. I have a couple questions on aviation and then on marine.
Clifton A. Pemble - President and Chief Executive Officer: Okay.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): So Cliff, if we could drill down into aviation a bit, the 5% net growth, I think you called out that's an after-market-driven number, could we parse out the after-market growth versus the original equipment?
Clifton A. Pemble - President and Chief Executive Officer: Yeah, we don't break it out by category, Robert. So, we don't have those figures that we can share with you.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Well, just maybe qualitatively or directionally, obviously the OE side is weak. Can you – do you have any line of sight to the bottom on either fixed wing or helicopter?
Clifton A. Pemble - President and Chief Executive Officer: Yeah, I think the aviation, and particularly in the OEM space, is kind of a long game if you will. And we don't really see shock effects going on in the market like what took the market down so low back in 2008 and 2009. But we feel like this is probably a seasonal soft patch and would expect as there is new aircraft deliveries, and as the market continues to recover from the effects of the financial crisis, that the market will improve.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Yeah, but Cliff, any timing on this? I mean, it's like a falling knife here on helicopters and with the oil and gas, the commercial helicopter side, and then general aviation is not a pretty picture here, bizjet, light aircraft. Any more color you can add there, are you seeing is some pickup or any conversations with the OEMs that are encouraging?
Clifton A. Pemble - President and Chief Executive Officer: Well, I think others in the industry probably have better clarity than we do, because they forecast engines and airframes and all those kind of things. But your comments on oil is definitely true. That's impacted helicopters directly and there's probably some indirect effect on aircraft as well. But again, aviation has kind of a long cycle and so I would not expect it would pop back in a matter of a quarter or quarters, but it might be a year or two to kind of see the market change again.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Okay. And then just switching over to marine, a very successful product introduction here, strong comps in the quarter. How do you expect that to change or adjust if at all, just given the fact that couple of your peers there are also introducing new products with some similar feature sets yet – that they hadn't quite shipped yet in the quarter? I'm thinking of Furuno and Raymarine, just some of their latest products. Does that change the dynamic going forward here, or can you sustain this kind of growth?
Clifton A. Pemble - President and Chief Executive Officer: I don't see those two particular examples as being a change driver for us. I think what's more likely to impact us in the future is that we're comping against Fusion in Q3, and so the stronger revenue comps that we had in Q1 and Q2 will go away in Q3. And then keep in mind that Q3 is seasonally weak, weaker than Q2. And so consequently, the level of boating activity and the level of sales will go down.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): How about just relative share, even taking Fusion out and just thinking organically?
Clifton A. Pemble - President and Chief Executive Officer: Yeah, in terms of market share, the marine market is highly fragmented. There is quite a few players with a lower amount of overall market share position. In terms of brand share we're the number one brand in the market, although another competitor which has a lot of house brands is really the number one player in the overall market. But the market size is limited, probably around $1 billion plus and so we all kind of split that pie up.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Okay. Fair enough. Thanks, Cliff.
Clifton A. Pemble - President and Chief Executive Officer: All right, thanks.
Operator: Thank you. Our next question comes from James Faucette of Morgan Stanley. Your line is open.
James E. Faucette - Morgan Stanley & Co. LLC: Hi, thanks. Just wanted to ask a couple of follow-up questions, just digging in on a couple topics already addressed. First, can you – on the fitness side, you've talked a lot about currency and competitive impacts there. Can you help differentiate a little bit or give a little color on how those elements were impacting kind of the newer fitness tracker products versus more of the legacy watch products et cetera, because in a lot of ways those can sometimes seem like different markets? And then second question is following up on an earlier question, how long would you expect that you would continue to drive the investment, both from an advertising and an R&D perspective, before we should start to think about or you would start to think about curtailing that in the fitness segment because it does require a lot of investment, and there is a well-established leader in different parts of that? And then kind of my last question was just I guess related to that, when could we or should we expect to see improved product, not just branding, cross-product branding awareness but also cross-product integration and functionality that could help improve the ecosystem perception? Thanks.
Clifton A. Pemble - President and Chief Executive Officer: Yeah, so in terms of product mix and the number of products or the dynamic of newer products versus existing products, this is typical of almost every kind of product company where as new products are introduced they come in at higher prices with new features and new utility and the older products are discounted. And we're definitely seeing that in our product line, not only in trackers, this is across almost every kind of product that Garmin does and so that's just the normal cadence of how the product lifecycle works. You asked about how long we would continue to invest in R&D and particularly in a mode of increasing our investment right now. The market is growing rapidly and so consequently, the opportunity is there and so we feel like it's the right time to invest in those things. Historically, we've always scaled our investments according to the market opportunity. So we would continue to do that in this market as well. And in terms of cross-product functionality I'm not quite sure I understand exactly what your question is. Maybe you could elaborate a little bit more on that?
James E. Faucette - Morgan Stanley & Co. LLC: Yeah sure, sorry. Sorry, I wasn't clear about that. So mainly I was just asking is that you talked about building the Garmin Connect site but I'm thinking more along the lines of improving even more the functionality between watches or fitness bands and cameras and other products so that users can see the value to being bought into a Garmin ecosystem?
Clifton A. Pemble - President and Chief Executive Officer: Well, actually that's been the strategy of our wearables since the beginning. We've tied our wearable connectivity to our marine products for example. We have connectivity with our aviation products. Our watches last year when we introduced the VIRB camera can serve as remotes for the VIRB. So we've absolutely tried to leverage our overall product ecosystem with our wearables and we will continue to do that in the future with exciting new features.
Operator: Thank you. Our next question comes from Tavis McCourt of Raymond James. Your line is open.
Tavis C. McCourt - Raymond James & Associates, Inc.: Hi, Cliff and Doug. Couple questions. First, I wondered if you could talk, if not exact numbers maybe qualitatively, in terms of the outdoor business. What percentage of that should we think about as being wearables at this point versus handheld? And then on the auto segment, the operating margins are down quite a bit year-over-year although still well into the double digits. I'm just wondering as we look out the next year or two in that segment, if it were to continue to decline at what point do you put your foot in the sand and kind of say we're not willing to run this segment below a certain operating margin target? Thanks.
Clifton A. Pemble - President and Chief Executive Officer: Yeah, so in terms of category breakout in outdoor, we don't break out by product category. So we're unable to share that. In terms of auto, in terms of our operating margin trends again it's similar to what I just mentioned where we continue to evaluate each business and we participate based on profitability and opportunity. While it's true that the operating income has come down in auto, there's a lot of dynamics behind that including the deferred revenue piece, which is a headwind year-over-year as well as the currency impact, which is another factor there. But again, we've appropriately scaled our investment there to date and we would anticipate continuing to do that going forward in order to be a profitable segment for Garmin.
Tavis C. McCourt - Raymond James & Associates, Inc.: Great. Thanks very much.
Clifton A. Pemble - President and Chief Executive Officer: Thank you.
Operator: Thank you. Our next question comes from Brad Erickson of Pacific Crest. Your line is open.
Brad D. Erickson - Pacific Crest Securities LLC: Hi. Thanks. Just had a follow-up or two here. First just back to the fitness business. Historically, you've talked about market share expectations. Seemed like you exited the year last year call it around 10% in terms of the tracker market. Can you talk about any formal expectations you have for growth here market-share-wise in the fitness market in 2016 – sorry, in 2015?
Clifton A. Pemble - President and Chief Executive Officer: Yeah, so I think your comments on the back half of last year is pretty close to our estimates, we would probably estimate we were in the 10% to 15% range in trackers. I think the fitness market though is – there is a broad range of products, so we're much stronger, very strong in the running category, and of course, new entries in the trackers but our goal is to grow that market share through 2015 in the trackers space. I won't throw out what our targets are but we do – with our advertising investment and our R&D activities, we do have an ambitious goal to grow in the tracker market.
Brad D. Erickson - Pacific Crest Securities LLC: Great. And then just around the spending, I think coming into this year, people were generally pretty aware of some of the competitors out there that were looming in clearly a competitive market and Garmin wanting to really establish a brand and spend in the areas of marketing and advertising. Now, we're seeing this higher level of expense for the year in the forecast. Can you talk about kind of your confidence level in this new forecast and how fully baked that is at this point?
Clifton A. Pemble - President and Chief Executive Officer: Yeah, so you know, we typically at the halfway point of the year reassess everything based on having half of the year behind us. And like you say, looking at the dynamics in the fitness market particularly, which are rapidly changing, we felt like now is the time to increase the investment around the advertising because of the growth in the market and the opportunity. So we factored in everything that we felt we needed to do to achieve our goals and so our new forecast reflects that, and at this point, we feel confident in that. Of course, things change over time and there's economic as well as competitive dynamics that take place but at this moment, we feel confident in our outlook.
Brad D. Erickson - Pacific Crest Securities LLC: Great. Thanks very much.
Clifton A. Pemble - President and Chief Executive Officer: Thanks, Brad.
Operator: Thank you. I'm showing no further questions. I would like to turn the call back to Kerri Thurston for closing remarks.
Kerri R. Thurston - Director-Investor Relations: Thanks, Amanda. Thanks everyone for joining us today. Doug and I will be out on the road over the next few weeks and look forward to seeing many of you in person. Thanks.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.